Ignacio Cuenca: Good morning, ladies and gentlemen. [Foreign Language] First of all, we would like to offer a warm welcome to all of you who have joined us this morning. We are delighted you are able to be with us for the presentation of our 2017 first quarter results. The presentation will, as usual, follow our customary format. Firstly, we will begin with an overview of the results and the main developments during the period given by the top management that usually we have with us, our Chairman and CEO, Mr. Ignacio Galan; Mr. Francisco Martinez-Corcoles, Business CEO; and finally the CFO, Mr. Jose Sainz. Afterwards, we will move onto the Q&A session. We would also like to point out that we are only going to take questions submitted via the web. So please ask your question only through our webpage, www.iberdrola.com.We expect that the event will last no more than 60 minutes. Hoping that you will find the presentation both useful and informative. Now, without further ado, I will hand over to our Chairman and CEO, Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Jose Ignacio Sanchez Galan: So good morning everyone. Thank you very much for participating in this result presentation conference call. In the first quarter of the year, net profit reaches 828 million with an EBITDA of 1,862 million, driven mainly by the contribution of our network businesses. The net investment had continued to grow in line with our plan and have increased by 13% to over €1 billion. During the period, operating cash flow reaches 1,655 million. I also like to highlight that effective from April 3, Gamesa-Siemens wind merger has been completed. This merger has led to the creation of a global leader in the wind generation industry with €11 billion of revenues, €1.1 billion of operating profit, 26,000 employees and with the headquarters in Spain. The new group in which Iberdrola holds 8.1% stake is listed in Madrid Stock Exchange and has today a market capitalization of over €13 billion. The EBITDA of 1,862 million has mainly been driven by networks, which increases by 9.1% as a result of our investment in that businesses. This increase has been attributed particularly to the performance of our activities in United States and the contribution of the new rate cases in Connecticut and New York. In the result ahead, we expect a further improvement as the New York rate case includes a yearly tariff increase applicable from May. In renewable businesses has remained relatively stable with an EBITDA that excluding extraordinary items in line with the first quarter 2016. This contribution of additional capacity has almost offset the low wind output in Spain versus an extraordinary high output in first quarter 2016. Our regulated generation activity in Mexico is up by 29.5%, thanks to the contribution of the additional 740 of capacity, megawatt of capacity, and the two digit CFE tariff increase compared to the first quarter of 2016. Generation and supply EBITDA has been affected mainly by the U.K. with low retail prices and an increase in regulated obligation cost and the comparatively lower generation output due to the closure of Longannet plant in March 2016. We expect that the performance of the business will improve during the year as a result of the 10% and 5% tariff increases in electricity and gas implemented from April 1st, efficiency measures underway and the dilution during the year of the contribution of Longannet of the first quarter of 2016. As for Spain, the lower hydro output versus exceptionally high levels in the first quarter of 2016, I remind you were a record one, result in a negative comparison, which will also be diluted in the following months. Our net investment continue increasing to over 1 billion, a 13% uplift, with 93% allocated to networks, renewable's and contracted generation. As a result of the investment in these two -- last two businesses, we expect at over two gigawatts during 2017, including 490 megawatts already commissioned during the first quarter. In total, we have also 6,400 megawatts in construction of committed additional to the 1,300 megawatts already put in operation in the last 12 months, all of which will be commissioned during the next three years. 45% of these capacities will be renewable's and the remaining contracted generation. During the first quarter, a number of relevant milestones has been achieved in the execution of our investment plan. In networks, the Western Link high voltage cable to bring renewable's energy from Scotland to England and Wales has been manufactured and tested for this expected commission at the year end. In the United States, the electrical reinforcement of the urban area of Rochester has been completed with the commissioning of five new substations. In Spain, we have continued implementing the smart grid project and 490,000 additional smart meters were installed. In Brazil, ANEEL has approved the four regulatory cycle of CELPE, the energy distribution company in the state of Pernambuco, including a 16.6 tariff increase and much higher RAB, which will translate into over 50% higher result for the company. In renewable's, all jackets and 12 turbines, one installed during the first quarter in our Wikinger offshore wind farm in Germany, with full export expected in the fourth quarter. In offshore of a total 167 and onshore of 167 megawatts were commissioned in the U.K. and Brazil. In United States, we executed a long term power purchase agreement with Apple for our new 201 megawatt Montague green power project in Oregon set to come on line by the end of 2018 and signing additional PPAs for 80 megawatt on the existing 160 Barton wind farm in Iowa. In contracted generation in Mexico, the commissioning of 314 Baja California combined cycle took place in January. We were also awarded the construction of a new combined cycle for CFE, Topolobampo III, with 766 megawatt of capacity, which is expected to be commissioned in the 1st January, 2020. By then, total installed capacity in Mexico will reach around 10,200 megawatts. And in Brazil, we were just awarded last Monday with four new transmission projects for close to BRL 1 billion to be put in operation or commission in the next few years. As for the operating cash flow, it reached 1,655 million in the first quarter. After deducting our investment of over 1 billion, this figure is €640 million. Also, our American company, AVANGRID, where we hold 81.5% stake, increased net income by 13% in the period to $239 million. The company is executing the strategic plan, seizing growth opportunities and is well positioned for an additional long-term growth. The good performance in our core businesses are reflecting the improving result in networks with implementation of the new rate cases in New York and Connecticut, and in renewables, with a higher output due to the new installed capacity. AVANGRID is also implementing best group practices through the forward 2020 plan, which include the consolidation of the corporate headquarters in Connecticut. Finally, the first quarter dividend was paid in April 3rd and the board declared the second quarter dividend of $0.432 per share payable in July. All this has been reflected in the market performance of the company, with a total shareholder return in the year of over 70%, which more than doubles the Standard & Poor's 500 Utilities Index. Finally, let me highlight the result of our annual general meeting held in March 31st with a quorum of 77.2%. Let me once again reiterate my gratitude to all our shareholders for the massive support given once again this year, which result in the approval of all items included in the agenda with an average support of over 99%.As agreed by the general assembly, the board of directors approved yesterday the execution of a new addition of the scrip dividend program in July, which will amount to at least €0.145 per share. Additionally, the company will pay € 0.03 in cash. So a total of €0.175, reaching an annual shareholder remuneration of €0.31 per share, almost 11% more than the previous year. Moreover, to avoid the scrip dilution effect, the share buyback program is being executed to maintain the total number of outstanding shares at 6.24 billion shares. Now, I will hand over to Pepe Sainz, who will present the group result in further detail.
José Sainz Armada: Thank you, Chairman. Good morning to everybody. Reported net profit decreased 4.7%, driven by a lower EBITDA. The negative impacts are concentrated on our liberalized part of the business, as the Chairman has pointed out due to non-recurring items that will recover throughout the year. Operating cash flow was 2.4% down, up to 1,655 million. Impact of FX was limited as the 10% devaluation of the pound was almost compensated by a 3% revaluation of the U.S. dollar and a 25% revaluation of the Brazilian real. Please remind that in Q1 2016 results have been restated due to a change in the accounting treatment of subsidies from May '16 onwards. As a result, there is a 90 million of higher EBITDA compensated at depreciation and amortization level. So there is no impact at the net profit. In addition, from 2017 onwards social bonus is accounted for in the supply business instead of the corporation. Revenues increased 1.3% to €8.3 billion, while procurements grew more, 4.2% to 4.7 billion due to higher input costs. As a consequence, gross margin decreased 2.3% to €3.6 billion. Net operating expenses rose 1%. Excluding non-recurring cost and FX impact, net operating expenses improved 0.3%. Net personnel expenses fell 3.5% and 5.1% excluding non-recurring and FX. Net external services increased 6.5% and [technical difficulty] excluding both impacts. Levies were up 10.5% due to, first the higher generation taxes in the liberalized business in Spain, 29 million more, linked to the very high energy prices that we had specially in January and the nuclear output increase. Higher taxes in the U.S. network business, 43 million more, affected additionally by the seasonality of its recognition will be more aligned with 2016 throughout the year. Analyzing the different business and starting by networks, it's EBITDA grew 9.1%, reaching €1 billion, with the U.S. and Brazil as main drivers compensating a weaker performance in the UK. Gross margin grew 6.2% up. Net operating expenses improved 6.3% due to non-recurring positive one-offs in the U.S. and Spain and taxes were up 15% due to the already mentioned increase in the U.S business. As you can see in the slide, the contribution of the different geographies to the results is well balanced: Spain contributes 38%; the U.S., 31%; and the UK, 24%. In Spain, EBITDA was almost flat to €387 million due to lower investments recognized in Q1 2017 versus Q1 2016. In the UK, EBITDA fell 5.6% to £210 million with a 2% decrease in gross margin affected by lower volumes and past year settlements. Net operating expenses grew 16% with higher external services associated to maintenance and weather. In the U.S., EBITDA was 46.9% up to $235 million as a consequence of the implementation of the new rate cases, positive IFRS impacts compared to last year that will flatten throughout the year and some positive non-recurring expenses. New York tariff will be positively reviewed in May 2017 by around 4.5% and taxes growth will flatten too through 2017. Finally, Elektro's EBITDA improved 6.7% to BRL 236 million with 1.8% higher energy distributed and the positive impact from the increase in the past August review. Generation and supply EBITDA fell 32% to 436 million, driven by first, the adverse operating situation in the UK with lower output after the Longannet closure and very thin margins as a consequence of higher non-energy cost, strong competition, increasing input cost and the weaker British pound, and the lower contribution of the Spanish business affected by adverse weather conditions and higher taxes, not compensated enough by the good performance in Mexico. Nevertheless, the situation will improve during the year both in Spain and in the U.K. Getting into the details, in Spain the EBITDA fell 19.6% to € 238 million, mainly driven by a 6.1% lower output and a 41%,with a 41% decrease in hydro production after an exceptional Q1 2016 and lower gas results due to higher procurement costs. Levies were up 21%, affected by the increase in generation taxes due to the very high spot prices that we had, especially in January, and the higher nuclear output. On the positive side, stronger retail activity was able to absorb part of the margin compression. I would like to stress that the production mix comparison will improve during the year as hydro production decreased from the third quarter of 2016 onwards, partially equilibrating the exceptional conditions of the first semesters. And today energy prices are more moderate, reducing the cost of levies. In Mexico, EBITDA improved 25.4% to $142 million, thanks to the additional capacity in operation, that has mentioned the Chairman, both with CFE and private customers and with higher CFE tariff as oil prices have recovered from Q1 2016 lows. In the U.K., EBITDA fell 73% to £ 47 million with a 40% decrease in gross margin, not compensated by a 10.5% improvement in net operating expenses in Q1 2016, including an OFGEM fine in the retail business. In wholesale and generation, gross margin fell by 90% due to a higher cost of gas and lower output after Longannet closure as Q1 has been historically, it's a strongest quarter in terms of results contribution. As the plant was closed at the end of Q1 2016, this impact will be diluted. In the retail business, gross margin fell 29%, driven by a 39% lower gross margin in retail power due to strong competition, further compressed by the rise in non-energy related costs, government obligations and transmission costs. Retail gas gross margin was 24% down, affected by a 5% lower sales and lower unitary margins. Recent March tariff increase 10.8% for electricity and 4.7% for gas that will start on the 1st of April will improve margins and there also efficiency measures underway that will deliver results by the end of the year. Renewables EBITDA was down 5% to € 434 million, mainly driven by lower wind resource in Spain. Gross margin grew 1.2% and net operating expenses increased 28% due to higher activity and non-recurring impacts in the U.K. and the U.S. Spain contributes 34% to EBITDA; the U.S., 29%; and the U.K., 24%.In Spain, EBITDA reached € 146 million, 16.3% lower than last year as a result of 17.3% lower output compared to an exceptional Q1 2016 that normalized thereafter. In the U.K., EBITDA grew by 7.2% to £ 90 million as a consequence of a 26.8% higher output with 229 megawatts increase in average capacity that boost gross margin by 22%. Net operating expenses are up £15 million or 176%, of which 12 million are non-recurring. The U.K. business will accelerate its growth during the year as new capacity is added. In the U.S., EBITDA increased by 2.8% to $235 million, driven by a 3.9% higher output in line with additional capacity installed mainly the Amazon wind farm, 208 megawatts, and gains in the mark-to-market of hedges for our merchant position. Gross margin was up 9%, but OpEx was up 35% or $16 million, of which $12 million are non-recurring. In LATAM, EBITDA increased 19% to €29 million, mainly as a consequence of higher prices and the revaluation of the Brazilian real. Finally, in the rest of the world, EBITDA reached €27 million, 11% lower due to lower output of 7%. EBIT decreased 17.8% to €1,027 million. Amortizations grew by 53 million to €779 million; first, due to the change in the amortization period to 23 years for Networks Spain according to the new regulation from the second quarter of 2016 onwards that will be adjusted during the year; second, additional investments; and third, higher depreciations of our U.S. business. Provisions grew by 4 million to €55 million.Net financial expenses reached 206 million, 66 million more than last year due to the 200 and -- sorry, due to the 2016 positive FX hedges impact linked to the British pound depreciation with unfavorable comparison with this year. Nevertheless, debt related financial expenses continued improving with a €13 million reduction to 127 million, driven by our debt cost improvements of 42 basis points from 3.55% to 3.13% and despite a 2.3 billion increase in the net average debt. Reported net profit fell 4.7% to €127 million due to lower operating results and higher non-debt related financial expenses, partially compensated by the accounting of €255 million net after taxes of the Gamesa merger, of which 198 million are cash from the dividend paid in April and another 58 million are accounted as a sort of asset revaluation. Regarding the financing part, our net debt totaled 29,760 million, increasing 350 million from December 2016, in line with the investment made according to the plan. It does not include the 198 million of the dividend of the Gamesa received in April. Nevertheless, our current metrics remain at solid levels. Our net debt-to-EBITDA was at 3.89 times. Our FFO net debt at 21.1%. Our retained cash flow over net debt reached 18.9%, with a leverage ratio of 42.1%.Q1 credit metrics have been affected by lower results in the period and higher investments that will pay off along the plan. For the yearend, we maintain our targets, thanks to earnings recovery, investment centered in operations and efficiency plans. The group has a very strong liquidity position covering more than 20 months in a stressed scenario with an average maturity of our debt of 6.4 years and a comfortable maturity profile. To end my remarks, just to remind you that in the annex you can find the July scrip dividend estimated calendar. And now the Chairman will finalize this presentation.
Jose Ignacio Sanchez Galan: Thank you, Pepe. To conclude, I would like to summarize the main factors that will determine the evolution of our business during the rest of 2017 with a series of positive impact that have already been mentioned by Pepe and me during the presentation. In networks, we have the effect of the full year rate case of Connecticut, which is starting January 17 with a 13.4 tariff increase, and the New York rate case effective from May 2016 which includes an annual tariff increase amounting to an average of 4.5% this year starting next month. In Brazil, the fourth regulatory cycle of CELPE will positively contribute to the result of the company, and ANEEL has just approved the annual tariff adjustment, which includes an average increase of 3% for Coelba and 3.38% for Cosern starting from April 22nd. In renewable's, we will progressively incorporate almost 1,400 additional megawatts during the next three quarters and the wind condition should normalize as we are comparing exceptionally high wind output in first quarter 2016 versus a very low one in this last quarter. In contracted generation, we will add 129 megawatt during the year and benefit from the increase in the CFE tariff, we will expect to continue two digit level compared to the exceptionally low tariff in 2016 derived from the fall in commodity prices. As for generation and supply, we expect the normalization of output with the dilution of the contribution of Longannet during the first quarter of 2016. In our U.K. retail businesses, the effect of the tariff increase implemented in April will contribute to the future result. Finally, the company is implementing efficiency measures, especially in U.K., and adopting best practices in U.S. through the 2020 forward plan. All these positive impact lead to an outlook of mid single digit growth for the year with a growth expected in networks, renewable's and contracted generation, the businesses where we are focusing our investment. To conclude today, I would like to inform you that in response to the needs expressed by some of the institutional investors, the board of directors approved yesterday a new shareholder remuneration program. This program suggests to the approval of the shareholders meeting, maintains the scrip dividend, which has a historically high demand, and introduce a new option of receiving a cash dividend in substitution of the sale of rights to Iberdrola of a guarantee price. The new system will also keep the share buyback program to avoid dilution and the two periods of payment in the current program, that's it, an interim and supplementary dividend. So thank you very much for your attention and now we are ready to answer your question you may have. Thank you.
A - Ignacio Cuenca: Okay, we are going to start with the Q&A session and the first block of questions are coming from Javier Suarez, Mediobanca; Carolina Dores, Morgan Stanley; and Alberto Gandolfi from Goldman Sachs is related to the 2017 guidance. Could you please confirm that the 2017 mid single digit growth is both for EBITDA and net income? Does it include or exclude Gamesa's extraordinary results? Do you expect any additional one off gains in 2017 results to meet such targets and what are the main risks from here to the 2017 guidance?"
Jose Ignacio Sanchez Galan: So of course it's including Gamesa. Gamesa is already included. So I think that is going to continue being included. Which are the main risks? I think in networks, we are seeing the things quite stable and I think that is what we are expecting. We are expecting, as I mentioned, a good performance of the United States, especially we have already rate increases in New York, as I mentioned. We have already good positive outlook as well, as I mentioned, in Brazil. And we have already -- in the case of U.K., we are already expecting the performance a bit better than we have performed in the first quarter. And in Spain, we keep already more or less in a stable condition. So all in other -- so we are seeing network in a positive outlook. In renewables, I mentioned several times then we are already comparing -- all the market is going well with the exception of Spain, where this quarter you have seen is the dries during many years, at least less windy during many years. Toward last year was the highest rainfall since decades. It was a record. And same thing with wind. So we expect then the condition will be already normalized and to compare with a normalized situation -- what was already the second part of last year was much normal. So I think that make up also; that with the more power we install and the normalization of the condition of Spain we are foreseeing then the performance in renewable will be really very good. In contracted generation, I think better prices in Mexico and more power address a better result and we have already -- even it's going to improve. But we expect less negative situation in retail U.K., where the prices has been extremely low. Now it's increased. And we are already taking some measures just trying to improve the situation we faced during their first quarter of this year, which as well has been compared with a first quarter in which we had already last year Longannet power plant. Then I do know in the first quarter traditionally it's a good year for power generation. So that's all together. We are seeing that our expectation of this mid-single digit growth, we are quite comfortable with it.
Ignacio Cuenca: Okay. The second block is related to the supply UK business and is coming from Javier Suarez again, Mediobanca; Pablo Cuadrado, HSBC; Peter Bisztyga, Bank of America Merrill Lynch; and finally, Antonella Bianchessi from Citi. "Position on potential U.K. energy reform cap in prices and giving such low margins, could you consider stepping down from the business?"
Jose Ignacio Sanchez Galan: So, well, I think -- talking about the price control, I think all price control affect competition and I think in the long-term that goes against the interest of the consumers. I think this point I said several times to the members of the British government. They have to decide if they would like to have a competitive market or the full regulated tariff. I think it's their decision to take. The worst scenario for the market and for the consumer is to be half of the halfway house. I think then they have to be implemented the recommended measures of the competition and market authority and this in my opinion have to be respected and implemented. In the case -- I think my approach is that policy should be used for fix competition of our prices -- for fixing prices. In any case, ScottishPower is the less affected company in the sector. The proposed effect or the potential cap effect in our case will only affect at most 50% of our portfolio, which is the standard tariff, which most of our competitors they are already between 70% and 90% of their total customer [indiscernible] standard tariff. So that's my point. So I think it depends what is the decision they take that will already destroy the competition and they will move into a full regulated tariff, which I think we're not opposed. But I think we are asking is clarification. We will like market, we will like full regulated tariff. And that is something we have to clarify as soon as possible because I insist the worst case scenario is a halfway house.
Ignacio Cuenca: Next question comes from Javier Suarez, Mediobanca; Pablo Cuadrado, HSBC; Carolina Dores, Morgan Stanley; Javier Garrido, JP Morgan; and Binkne Asand from Deutsche Bank and is related to the noise around Brazilian M&A. "Could you confirm your intention to integrate a link through ANEEL, rational and benefit for the group? Could you be open to invest more cash into Brazil to buy out your partners in [indiscernible] or would you only do the integration if you do not need to invest more cash?"
Ignacio Galán: That's not new. I think you know then we are constantly analyzing different strategic alternatives for our investment. And certainly one of the options is merger Elektro Energia. We have been already talking about that one since the last eight or ten years. For the moment the only thing I can say is only a possibility. We have not taken any decision, no agreement has been reached and no binding document has been signed. But I think that is not new. I insist then we've been already in talks about this possibility for a long, long time. Meantime, what I can say is, as I mentioned, our interest for Brazil remains, as I mentioned in my speech. On Monday, we have been awarded with a new transmission contract for close to BRL 1 billion for investment in -- Elektro has been awarded in that one, for being already built during the next few years, to begin operation in the next few years as well. So I think the interest in Brazil remains and this is one possibility of very many possibilities. We've been already talking for a long time with our colleagues and other people in Brazil for many years.
Ignacio Cuenca: Binkne Asand from Deutsch Bank and Rui Dias from UBS are asking about the latest offshore auctions. "Can you comment on views from the offshore auction results in Germany and what do you expect for the UK auctions? Would you expect prices to be as low as in Germany?
Ignacio Galán: So I cannot say when more things that most of you has already written your reports, so I think that was according what you write in according with the bidders mentioning there in their conference calls that have been treat know the as tender process for building new power plants. It has been taking as alike as a call option, especially call auction, by the way, a call auction. Our approach is different, I think when we go to some place, we are not already looking for an auction, we are looking for building and operating wind farms. So in this moment, we've an interest in projects in our pipeline, which are already all the rights for a building and we look forward to the following auctions and licensing opportunities without producing our minimum profitability criteria. So what they are going to do there is? We will see, I think there is no need that countries like Britain in a certain auction for power generation and certain bids for auction for power generation, people has already been with the same approach and their power plant has not been built. Now the British already putting some more guarantees and for securing then this power plant will be made and I imagine then that is a good thing for learning, they have different governments, that if they have injuries then the power plant will be built, they will try to put already certain kinds of obligation and guarantees to secure than those kinds of which are coming there they will really execute what there result of the auction not just to play with the calls and if it's good we will bid and if it's not we will not. Because I think the energy policies of the countries cannot be can be treated as a financial product.
Ignacio Cuenca: Next question comes from Javier Suarez, Mediobanca and is regarding the next Spanish renewable auctions. He is asking about under what circumstances we can participate in it.
Jose Ignacio Sanchez Galan: So as far as I know, we're in the Spain the leader of the renewable by far, so we have already a lot of very large pipeline in very good projects. And I imagine that our people of renewable Spain already duly analysing what is the terms and conditions and I imagine if they have good projects and condition of the bit is interesting they will participate. But within the same basis. I think our approach always is the same one, we are not bidding for the auction of call, auction call, we are already bidding for building in a profitable manner, our wind farm that is what we already were done and sure we're going to do the same thing. If they have projects they will go if the terms and conditions which are already published, is already good enough but I think we have plenty of project for participating if our people in the Spain decide to go.
Ignacio Cuenca: Next question comes for Fernando Lafuente, Alantra and is related to the liberalized business is Spain. "What is your pool price assumptions for 2018 and what is the amount of electricity already sold and at what price?
Ignacio Cuenca: Paco, can you reply?
José Sainz : Yes, Chairman, thank you. Starting with a price assumption for next year is still keeping the values we gave when we present the strategic plan update in the last February, that means 46 years of [Iberdrola Tower] for the next year and about 42 for this year that's the full price. And energy sold we have already closed completely hedge the energy that is expected to produce this year and the price is 59.7 and for the next year we have already close 2/3 of the energy and the price is 63.7. And I would like to add and remind you that if you want to compare the prices given by another competitor you should include €4 [Iberdrola Tower] hour in our prices because we do not use to include the payments we have to do to the ancillary services providers and they do. So if you want to compare with other competitors you should increase these prices that have just given with an amount of € 4 megawatt hour.
Ignacio Cuenca: Next question comes from Javier Garrido, JP Morgan and is related to the UK business and network business, EBITDA is down 5.6%local currency due to its more declining gross margin and rising Opex. Could you please comment on first, when gross margin will start to grow to reflect the CapEx invested in UK network and second is this, the normal evolution of OpEx or they have sections?
Jose Ignacio Sanchez Galan: Well, we are -- I mean, normally what we are saying in this business is that there is so much just means on perhaps lower Investments etcetera. So we're actually expecting that the gross margin will recover through the year. So we are expecting that this year the gross margin will start growing and this OpEx is not going to be recurring, this are exceptional this has to do with maintenance that we have to make that what's higher than expected compared to last year and last year we made some works for the third party that were paid and this year we are not, basically they were concentrated in the first quarter. So basically what we are hoping is to see a rise in the gross margin for the UK networks and that costs will stabilize or will flatten throughout the year.
Ignacio Cuenca: The next question about nuclear business in Spain is coming from Javier Garrido, JPMorgan and he is asking: "Whether the press reports -- you are asking the Spanish government for a delay in the deadline to ask for a renewal of the license of some of your nuclear plants. What is the reason for this request? What could you do if the government refuses to allow for the delay?"
Jose Ignacio Sanchez Galan: So as I mentioned in our general assembly, we don't set energy policies, we don't play politics with energy. I think our situation is very clear. Our nuclear subsidiary, which is an affiliate of Iberdrola Spain -- you know we have a company which is Iberdrola Ingenieria Nuclear Spain, which is a subsidiary of Iberdrola Spain, is in serious losses since many years due to the new taxes and obligation which has been imposed in this technology during the [Technical Difficulty] change in the original model and the original business plan. I think we feel -- and that is what was already heavily supported by the general assembly that we cannot operates plants in losses and without seeing when these losses is going to disappear. So for asking this power plant for the permit for operating it required -- already the operation requires already just asking for an extension for continuing operating. So before this in our conversation with the government, we had already asked for time. I understand they would like to define the energy policy for the country, what is the type of energy the country requires, which is the condition, how it is going to be made, etcetera, etcetera. And we are asking is time. I think it is no need to ask three years in advance this license of operation because I think 12 months is more than enough for analyzing what is the requirement for continuing operating or not. So already given time to the government, two years time, for analyzing what is the energy policy the country likes and the government has already said they would like to have already a national agreement in energy. And I think before taking any decision from our side, we will prefer then this national energy policy will be fully defined. That is what we are asking. So not to take decisions which can already not being at the long term because of this decision taken can already affect to our P&L and they can already affect to our shareholders. That's why we are giving time to the government to make the national energy policy in which what is going to be the role, the nuclear power energy have to play in these energy policy and how these nuclear is going to be pay in order to cover the cost into generate some profit as all the businesses what we had in the group.
Ignacio Cuenca: We have another question from Rui Dias, UBS about the [Indiscernible] were announced yesterday? "Can you please take us through the latest option for power [Indiscernible] project in Brazil [Indiscernible] on first, how competitive these auctions were and second what led you to outset such a extremely low of return in equity for some of the projects, what were your key assumptions?
Jose Ignacio Sanchez Galan: Well, I think it's -- I don't know very much the limit but I can tell you that this auctions are very good return, I think it is not less than 300 basis points of the [Indiscernible] no less than that one. So I think [Indiscernible] our team is extremely good had already succeed in having good condition for suppliers and the design what has been make are very good. I think those is really very we expect to be very profitable even more than those what we have already in other places and that is the reason we have already going to those runs. In second because I insist I think we have been seeing for many years Brazil is not as bad as somebody saying, in certain moment it is not as not another people were saying another moment. We always we are convinced the Brazil is a good country, we have already a positive [Indiscernible] but there is a good long term investment and that was our decision to go but in terms of return, the return are very good for ourselves that what we are expecting.
Ignacio Cuenca: Okay. Last question is coming from [Alkima Madho] from Bloomberg and is related something was appear to the [Indiscernible] newspaper about the possible U.S. tax reform.
Jose Ignacio Sanchez Galan: Well, I think let's see what is this tax reform but I think whatever thing is tax reduction always is a good news. So I think which is thing is that we are already waiting and expecting what is going to be the terms of this proposal but in general terms whatever thing is less corporate taxation always is welcome, which I think we will see what is the final draft of this thing but I think we will come whatever reduction in corporate tax.
Ignacio Cuenca: We have several questions from Fernando Lafuente, Alantra; Antonella Bianchessi, Citi and [Manuel Rocas]; independent analyst; and Daniel Rodriguez from Fidentiis that we will be delighted to answer them from our IR team. So now please allow me to give the floor to Mr. Galan to end with this event.
Jose Ignacio Sanchez Galan: So thank you very much for your questions. Once again, we try to be as transparent as possible. We are already moving as made in the last year for in a quarter which is not as good as the another quarters, but I think last year we have this theme we start from less and we finish with more. So we are very comfortable with this strategic growth expectation by the year end and we will see as I'm sorry one digit growth expectation for the year end, sorry please correct to me. So I would be delighted to digit growth, this one digit growth expectation from the year end and I think I will explain to you than all the businesses to either networks either renewables either contracted generation all have already and very good outlook and in the case of liberalize business I think our expectation is going to improve during the next three quarters because they have certain extraordinary things we have already happened in the first quarter which is going not to be affected in the following quarters. So thank you very much and we have the opportunity to talk you again in the next few months. Thank you.